Operator: Good morning. My name is Brika, and I will be your conference operator for today. At this time, I would like to welcome everyone to the Vertiv's Fourth Quarter and Full Year 2023 Earnings Conference Call. [Operator Instructions]  Please note that this call is being recorded. I would now like to turn the program over to your host for today's conference call, Lynne Maxeiner, Vice President of Investor Relations. 
Lynne Maxeiner: Great. Thank you, Brika, and good morning, and welcome to Vertiv's Fourth Quarter and Full Year 2023 Earnings Conference Call. Joining me today are Vertiv's Executive Chairman, Dave Cote; Chief Executive Officer, Giordano Albertazzi; and Chief Financial Officer, David Fallon. 
 Before we begin, I'd like to point out that during the course of this call, we will make forward-looking statements regarding future events including the future financial and operating performance of Vertiv. These forward-looking statements are subject to material risks and uncertainties that could cause actual results to differ materially from those in the forward-looking statements. We refer you to the cautionary language included in today's earnings release. 
 You can learn more about these risks in our annual and quarterly reports and other filings made with the SEC. Any forward-looking statements that we make today are based on assumptions that we believe to be reasonable as of this date. We undertake no obligation to update these statements as a result of new information or future events.
 During this call, we will also present both GAAP and non-GAAP financial measures. Our GAAP results and our GAAP to non-GAAP reconciliations can be found in our earnings press release and in the investors slide deck found on our website at investors.vertiv.com. With that, I'll turn the call over to Executive Chairman, Dave Cote. 
David Cote: Well, 2023 was a great year for Vertiv and our shareowners. We created tremendous value. Our stock price increased 252% in 2023, putting us well ahead of the #1 performer in all of the S&P 500, and it's up very well again so far this year. We announced the capital allocation strategy at our November investor conference is very flexible and we believe is structured well to provide additional benefits to shareowners and is a great reflection of the cash-generating capability of the company, a very nice and exceptionally promising change from where we were.
 We finished the year strong, quite strong, in fact, and we fully expect this to set us up well to continue to provide good returns for our shareowners in 2024 and beyond. So Gio and team were off to a very good start, but we still have work to do. You'll hear Gio talk about his focus areas for 2024 and what we plan to accomplish this year to deliver another good year for our investors.
 It's getting the important thing customer relationships, technology, BOS, organization resiliency, working capital and capital deployment. We've demonstrated our potential in 2023, but we still have a long way to run, and that's all upside. So with that, I'll turn the call over to Gio. 
Giordano Albertazzi: Well, thanks, Dave. Thanks a lot. As Dave mentioned, our stock was up 252% last year. And as they said, if we were in the S&P 500, we would have been the top performing stock. We believe we meet the criteria, and we believe Vertiv is a good candidate for S&P 500 inclusion. 
 Let's go to Slide 3. We finished the year strong. Operational execution continues to improve. Q4 sales were up 12% organically. Growth continues to be led by the Americas. Orders grew 23% year-on-year and 18% sequentially, good across all regions. Additionally, book-to-bill was very strong at 1.3x, a demonstration of market strength that gives us confidence in what we believe will be a strong demand environment for '24 and beyond. 
 Adjusted operating profit of $330 million and adjusted operating margin of 17.7%, clearly a step function improvement and a demonstration of our sharpened operational execution. Our adjusted free cash flow was $305 million for a full year at $778 million, resulting in more than $1 billion improvement year-on-year. Our net leverage at the end of the year was 1.9x. So within our target range of 1x to 2x, and we were upgraded by both Moody's and S&P in December. 
 In December, we announced the acquisition of CoolTera that further strengthens our technology leadership in high-density and liquid cooling. More to come on that in a few slides. 
 I'm pleased with the strong foundation. As we enter 2024, coupled with strong market demand, we feel good about our trajectory for the year and beyond. 
 And let's move to Slide 4. We take a look at the market environment here, and it's pretty consistent with what we have been seeing for a while. Cloud hyperscale continues to lead the growth with tangible signs of AI deployment and very strong build plans. We continue to see encouraging signs in enterprise with customers starting to develop AI plans for the business, be it either on-prem or cloud. Either way, it's good for Vertiv. Telecom, not a lot of news here. CapEx is tight and mainly focused on retrofit. 
 From a regional standpoint, APAC remains soft, but continues to be a story of China and the rest of Asia. The China market continues to be weak, but we saw some small positive signs in terms of orders. We don't think the market is getting weaker, but recovery is slow paced, if at all. In the rest of Asia, including India, we see significant investments happening across the market. Cloud colocation are certainly leading the pack, but enterprise customers are also investing. 
 We moved commercial and industrial to green in APAC, really driven by India. The investment in infrastructure are accelerating. The India market is quite exciting, and we are well positioned. Overall, our pipeline formation is good and particularly strong in the colo hyperscale segment. Let's go to the next slide, Slide 5. I am pleased with the order strength we saw in Q4, 23% year-on-year and 18% sequentially. We entered '24 influenced by a strong 2H '23 booking, driven by large projects, reflecting also demand from AI. 
 We continue to post record backlog which was up about $0.5 billion from the end of Q3, good visibility for '24 and beyond. We expect Q1 '24 orders to continue to be strong up in the high teens on a year-on-year basis in the first quarter across the portfolio. We anticipate they will be down sequentially from Q4. This is just a normal business pattern. We are working in close collaboration with our customers and suppliers to make sure we have the capacity in place to support the likely strong demand environment for the foreseeable future. We inaugurated a new thermal management plant in India. 
 We have significant capacity expansion underway for switchgear and busbars across the thermal portfolio, including, of course, liquid cooling. As I mentioned at Investor Day, on a weekly basis, we look at evolving demand scenarios in a disciplined, rigorous and focused way to make timely investment decisions. The backlog for AI orders continues to grow robustly. The acceleration of the overall order book related to AI is never an exact science, as I explained, matches the expected growth rate for the application, i.e. a growth uplift of 3% to 4% to the overall market, as we mentioned in November.
 I continue to caution what is and what is not AI is fungible to a certain extent. What matters is that we believe that traction is consistent with the market uplift from AI or perhaps a bit ahead, given our strong position in thermal and thermal is a clear differentiator. Continuing on the right side of Slide 5, we believe that supply chains have largely returned to normal, but I'd say normal in a post-pandemic world.
 We are focused on making sure that resiliency is constantly increasing across the supply chain to weather what a quite complicated world can throw at us. So a lot of focus here. Looking at material inflation, we expect materials pricing to be relatively stable year-on-year, but we are very mindful that things can change rapidly. And with that, over to you, David. 
David Fallon: Thanks, Gio. Turning to Page 6. This slide summarizes our fourth quarter financial results. We finished the year quite strong. Our organic net sales increased 12%, 5% from volume, 7% from price. And America continues to be the growth engine, which Americas was up 22% in the quarter. Our sales performance was within guidance range, but slightly below midpoint which was mainly attributable to a weaker China and some project delays in EMEA.
 Adjusted operating profit was $330 million, up $120 million from last year's fourth quarter and that was mainly driven by favorable price cost and the higher volume. We beat the midpoint of our implied fourth quarter adjusted operating profit guidance based upon good commercial execution and material inflation below our modeled assumptions.
 Our adjusted operating margin was 17.7% in the quarter, a 500-basis-point improvement compared to last year. And that certainly was driven by our continued relentless focus on operational execution, and that clearly showed in the results. As we move to the right, our fourth quarter GAAP diluted EPS includes a $115 million nonrecurring tax benefit related to the release of a valuation allowance, and we have removed that from adjusted diluted EPS. And we provide additional detail on that valuation allowance release on Page 28 in the appendix. But otherwise, the year-over-year increase in adjusted diluted EPS was driven by higher adjusted operating profit. 
 To the far right, another very strong quarter for adjusted free cash flow as we generated $305 million in the quarter, more than doubling last year. Certainly, higher profitability contributed to this result, but working capital is also an important part of the story with plenty of opportunity for continued improvement. As Gio mentioned net leverage declined to 1.9x within our target long-term leverage range of 1 to 2x and down from 5.6x at the end of 2022. This leverage level supports the capital deployment framework provided at our investor conference and gives us significant flexibility and optionality to deploy excess cash.
 Turning to Page 7. This slide summarizes our fourth quarter segment results. The Americas region, as I mentioned, continues to fuel the growth engine with organic net sales up 22% in the quarter. The improvement in adjusted operating margin in the Americas continues, up 640 basis points from last year to 26.9%, with the increase primarily driven by favorable price cost and fixed cost leverage.
 APAC sales increased 3% organically, but continues to be weighed down by China, where sales were relatively flat year-over-year, but below expectations included in our quarterly guidance. APAC adjusted operating margin declined 220 points with unfavorable mix and the timing of fixed cost contributory factors. 
 EMEA grew 1% organically in the fourth quarter, which was lower than anticipated primarily due to delays on several larger projects. However, we did see an 18% sequential sales increase from the third quarter, which is encouraging and EMEA experienced strong year-over-year fourth quarter orders growth, both which provides confidence for us to project low double-digit organic growth in EMEA for full year 2024. EMEA delivered strong adjusted operating margin of 28.3% in the fourth quarter, an increase of 750 basis points from last year's fourth quarter, although they did benefit from a $6 million nonrecurring gain from an asset sale in the quarter. And as Anand Sanghi, our Americas President, has emphatically reminded us, without that gain, the adjusted operating margin for the Americas and EMEA would have been approximately the same as those 2 regions continue to push each other for highest regional adjusted operating margin.
 Next, turning to Page 8, a summary of full year 2023. I can safely say it was a very strong year. It's always a good thing when the orange bars on this slide are significantly higher than the gray bars and that is the case for all financial metrics for this past year. 2023 produced a step function change in financial performance from 2022 that is not often seen in a 12-month period. This significant improvement is a result of a relentless focus on operational execution, which very clearly reads directly through -- to our financial results. 
 Our full year organic sales up 21%, reflects a great position in a strong end market. Adjusted operating margin of 15.3%, an improvement of 760 basis points from last year, certainly provides a strong foundation to surpass our midterm adjusted operating margin target of 16%, which we expect to do in 2024, with about 110 basis points to spare at the midpoint. 
 We did well in converting the improved profitability to cash with an over $1 billion improvement year-over-year. And let me repeat that, an over $1 billion improvement in adjusted free cash flow year-over-year, with this improvement driven by the higher profitability and improved working capital management while continuing to invest in CapEx to support growth.
 Adjusted free cash flow of $778 million drove an adjusted free cash flow conversion of 114%, with this improved conversion benefiting from a significant increase in deferred revenue primarily from advanced customer payments, which increased $280 million or 80% in the year, while sales were up 21%, which we estimate contributed about 30 percentage points to that conversion. While we expect continued growth in deferred revenue, there are many market dynamics at play, and we should not expect similar growth in 2024, which is one of the primary reasons we are guiding to adjusted free cash flow conversion in the low to mid-90s for full year 2024.
 We have much work to do, and there's plenty of opportunity for continued improvement, but 2023 certainly demonstrates our potential and helps build credibility and confidence that we can execute upon our long-term strategy and deliver the financial targets we introduced at our Investor Conference.
 Pivoting to 2024 and moving to Slide 9. This is a look at our first quarter guidance. We are expecting first quarter sales to be up approximately 5% organically with Americas up high single digits, APAC's up mid-single digits and EMEA relatively flat. Adjusted operating profit between $200 million and $220 million and adjusted operating margin of 13.1%, up 160 basis points from last year's first quarter. And that is driven by price/cost tailwinds and productivity programs, partially offset by continued growth investments. As you likely have noted in our slide deck, we have not provided the detailed split between price and cost/inflation for 2024. As we emphasized at our Investor Conference, our ambition is to cover all inflation, including labor inflation with price and being price cost positive is an important lever for us to attain our long-term adjusted operating margin target of 20% plus.
 As you will see on the next slide, we fully expect to be price/cost positive in 2024, and we expect that to be the case each year going forward. We will continue to price our products commensurate with the increasing value we provide our customers. However, for commercial and competitive reasons, we are not disclosing the specific quantified pricing figure going forward, but rest assured, that commercial excellence actions are a core tenet to our continued profit improvement program, and we believe we are well positioned in a favorable market to continue to execute upon our long-term plans.
 Next, turning to Slide 10, our full year guidance, higher across all metrics from the view presented at our November Investor Conference. Organic net sales growth is expected to be 9% to 11%, up from the 8% to 10% we shared in November. We are increasing the midpoint for adjusted operating profit from $1.25 billion to $1.3 billion with adjusted operating margin at 17.1%,  well above the previously established midterm target of 16%. And as a reminder, our long-term margin target is 20% plus, and we believe we will take all the necessary next steps in '24 on our path towards that target. 
 Our projected 2024 adjusted diluted EPS of $2.23 at the midpoint is approximately 25% higher than 2023, primarily driven by higher adjusted operating profit and partially offset by taxes and a higher share count as the higher share price drives more accounting dilution for employee stock options. We have included some estimates for share repurchases and share price in our estimated '24 diluted share count, but we are not prepared at this point to share specifics for either but we believe the 393 million shares estimate for full year diluted share count is a reasonable and balanced guidance, but certainly subject to change based upon several variables.
 Moving to the right on this slide. We are projecting adjusted free cash flow between $800 million and $850 million, representing 94% adjusted free cash flow conversion at the midpoint. As mentioned, this is lower than 2023 conversion primarily due to assumptions with deferred revenue and higher investment in CapEx. And finally, as we introduced at our Investor Conference, there will be a couple of external reporting changes in 2024 to align with how we run the business.
 We summarized these changes on Slide 31 in the appendix, and we have provided a historical recasting for these changes going back to 2020 in Exhibit 99.2 of our earnings release. And with that said, I turn it back over to Gio. 
Giordano Albertazzi: Well, thank you. Thanks a lot, David. And we go to Slide 11. Thank you. You saw this slide at our Investor Conference. We are the market leader in thermal management for data centers. We have the most complete portfolio of thermal management solutions, including liquid cooling to lead the industry as a transition to GPU accelerate. We can do this customizing at scale, and we believe in a very strong position.
 This slide here shows also our high-density liquid cooling portfolio. In November, the technology was both owned and partnership-based, now it's fully owned. 
 We can go to Slide 12. The 8th of December, we closed the acquisition of CoolTera, which has industry-leading liquid cooling technology. We have now secured that technology with full ownership. We have been close partners of CoolTera for years.  Now take CoolTera's premier technology, certified and approved by key chip manufacturers, along with established customer relationships, combine that with Vertiv's reach and you can scale the technology at a pace that will support our customers' aggressive AI deployment plans. We have already started to manufacture CoolTera's CDUs in one of the Vertiv plants, and we expect to have capacity quadrupled by the end of Q1.
 We are executing on a plan to scale the production of our liquid cooling solutions more than 40 times by the end of this year. We truly want to make sure we have capacity to cover the most aggressive GPU growth scenarios. That is what Vertiv means by scaling technology, activating our global manufacturing and supply chain footprint.
 Let's go now to Slide 13. This is where we obsessively focus to deliver another very good year. It starts with the customers. We plan to continue leveraging our far-reaching and deep customer relationships and have the technology, the portfolio, the innovation and the capacity to meet their demand. We spoke about the capacity expansion underways. We have allocated additional investments to CapEx to support our customers. Global scale matters and will continue to differentiate us. Vertical Operating System is foundational across the organization, helping us to realize productivity improvements in general and given us a speed. We have started to make progress on trade working capital, but there is more work to do. We are not optimized. It continues to have my full attention, and we are improving. 
 Our capital deployment framework provides much flexibility driven by good cash flow generation. So a lot to do in 2024. And the short work is fully underway to continue to execute well on all these focus areas. 
 Now to Slide 14. We started 2024 in a strong positions. Orders in Q1, backlog at the end of the year were very strong. Orders in Q4, backlog at the end of the year were very strong. End markets continue to signal strong and increasing demand for the foreseeable future certainly driven by AI. We expect to have the capacity to support our customers, that is our commitment to them. Investments in capacity and R&D to support the growth of the business will continue.
 Our foundation is stronger today than ever before. Our focus area will continue to strengthen that foundation and increase the resiliency of the organization to navigate, again, an increasingly complicated world. VOS, Vertiv Operating System is a cornerstone for that, a robust, resilient operating system deployed globally.
 I am pleased with the progress, but I see even more opportunity than I did when I stepped into the CEO role, much more. There is work to do, and we look forward to updating you on our progress, and we look forward to your questions now. So over to the operator. And thank you very much. 
Operator: [Operator Instructions] We have the first question from Andrew Obin of Bank of America. 
Andrew Obin: Just a question on -- we've got a lot of questions this morning on the pace of savings that you guys are forecasting for next year is just on a net basis, it's just material slowdown versus 2023. And also the big question we got, what kind of pricing. And I know you're not going to talk about it for competitive reasons, but you have disclosed pricing for 2023. So if we sort of plug in any sort of reasonable pricing for '24 right? On a net basis, the $60 million looks fairly conservative, particularly given what you achieved even in the fourth quarter, if you could address that. 
Giordano Albertazzi: Thank you, Andrew. I'll start. And David, if you want to chip in. I mean, we've been pretty vocal about the strength of our pricing muscle over the -- built over the last 12-plus months. It's something that continues just simply, it's just [indiscernible] have been vocal about the fact that while we continue to believe that we operate in a price favorable environment, but the marginal price gains will diminish for obvious reasons and a different inflationary environment we're in.
 But we operate -- the biggest part of our business operates in a favor from a demand supply balance environment. So we continue to count on price. The pace of that price will, again, price gains diminish, but we're confident it will continue to be positive. And I don't know if you want to add something, David. 
David Fallon: No, just for avoidance it out, that $60 million certainly is a price cost or price inflation number. And when we look at price cost, we include labor inflation in that number, which we have disclosed previously, that's in the $100 million range, and we certainly expect both material and freight to contribute some inflation next year. So you got to take that into consideration when you're looking at that price/cost dynamic including looking at price. 
Andrew Obin: Got you. And just a follow-up question on North America. You are guiding North America revenue up high single digits in the first quarter, but 22% growth in the fourth quarter, orders up 23% in the fourth quarter of '23. Is there any specific dynamic taking place in the first quarter? Why you think North America is only going to be up high single digits given the strength in the fourth quarter? 
Giordano Albertazzi: Well, we continue to believe that -- we believe and we have a strong business in North America pipeline is very, very encouraging. Just want to remind that the Q1 last year in North America, but -- in Americas, sorry, particularly was particularly strong. You remember, we were coming out of 2022, where we had a lot of, let me say, pent-up backlog. So that's also reason. But we feel very good about our America -- our business in America. 
Operator: We now have Lance Vitanza of TD Cowen. 
Lance Vitanza: Congrats on the performance. It looks like book-to-bill not only improved in the fourth quarter, but accelerated. So I'm thinking about the organic sales growth guide for 2024, which certainly terrific in an absolute sense is obviously a lot lower than what you achieved in 2023. So I'm wondering to what extent does the guidance for '24 reflect potential bottlenecks, both from the standpoint of perhaps your customers' ability to source permitting and utility power on the one hand. And then also, of course, your own supply chain with respect to fans and IGBTs and breakers and so forth? 
Giordano Albertazzi: Thank you, Lance. So the -- as you noticed, of course, we are very happy about our book-to-bill and our backlog. We have dynamics in the sense that certainly our second half orders '23 were strong and good. And that reflects in the way the shape of our backlog in general. We do not see a supply chain bottleneck at our end. I mean, it's never infinite, but the constraining factor, if you will, if we can call it. So is the fact that simply there's large projects and we -- large project we're talking have relatively long requested lead times from our customers.
 So it's a natural cycle. We were vocal in the past and we'll continue to be vocal that the whole industry needs to confront itself with power availability, permitting, et cetera. But I would say that in the 12, 18 months is really the natural pace of build-outs and sites, et cetera. So we pretty much deliver on what our customers' request right now. 
Operator: We now have Nigel Coe of Wolfe Research. 
Nigel Coe: I'll keep it to 1 question. So if I'm doing the math right, it looks like $2.4 billion of orders in the quarter, up from $1.9 billion in the third quarter. I'm guessing you're going to say America is hyperscale, et cetera, but maybe just give us some context on what drove that sequential acceleration. But more importantly, can you maybe talk about the front log of the funnel, the fund log where you want to call it of opportunities you see coming up in the next quarter or two?
 And then David, just maybe just address this very specifically. You said deferred revenues will continue to grow in '24. Does that indicate that backlog continues to expand from here. 
Giordano Albertazzi: I'll start, Nigel, to answer your 3 questions in one. So clearly, we like the acceleration. We like the acceleration in orders. And the -- you remember, we were vocal about the strength of pipeline, both at the earnings call in October and in November at the Investor Day. That continues to be true. What we have positively noticed is an increased velocity in the pipeline.
 So we believe that's a capacity rate of the pipeline that will stay with us. So that is through the final continues to grow, and that's true pretty much globally, certainly for the Americas, EMEA and many parts of Asia. So we're positive about that. So we see opportunity out there. Do you want to comment on the other part of the other question? 
David Fallon: Yes. Yes. So as it relates to deferred revenue, and I may oversimplify this, but deferred revenue can grow for 2 reasons. One, is, as you mentioned, backlog grows. The other is just improved execution and further penetrating customers with those advanced payments. And frankly, we would hope for both. But we feel pretty good that we'll see continued growth in those customer advanced payments. 
Operator: Your next question comes from Amit Daryanani of Evercore. 
Amit Daryanani: Gio, I was hoping you would talk about -- I think you talked about AI activity broadly in line, if not slightly better than you had expected, and that's the way you described it. Can you maybe just talk about -- and I realize you said it's not easy for you to be precise, but how much of your orders or your backlog you think are AI-driven today?
 And as you engage with these cloud customers, do you see them sort of preferring more the route of direct-to chip or full immersion? Just sort of love to get clever what your customers are looking to build their data center technology with as they go forward? 
Giordano Albertazzi: Thank you, and a good day to you. As I said in the couple of occasions, it's very hard for us, and I think for everyone truly to be exact. It's not an exactly as I said in -- where we're going through the slides, not exact signs deciding what goes to or being sure of what goes through AI applications or not. As I said, there are some product lines that are univocally destined to high-density GPU AI like, any sort of high-density cooling or liquid cooling, some elements of in rack power distribution.
 But so to say, we want to make sure that we don't go to the side of too much detail, too much details also from a competitive standpoint. But we are very happy about the trajectory of the backlog and the trajectory of the pipeline. But the vast majority of -- the vast majority of our portfolio is really fungible, as I said, in the sense that also a lot of what you see built today and designed today is not univocally one or the other.
 It is data centers that needs to be hybrid in their very nature because they will host both traditional, let's say, CPU and GPU with configurations that may and will actually change over time. So the mix of loads in the same data center changes.
 The challenge here for all in the industry, and that's why we operate very, very strongly with the hyperscalers and the largest colors is how do you design it in a way that you can transition that way? How can you build that intrinsic flexibility there? So that's why it's very difficult for me to answer in a credible way to your question.
 And I would invite the entire industry to be less [ biunivocally ] black and white on this because I don't think you can. Having said that, we're very happy about the trajectory. We are very happy about the trajectory of what is univocally destined to AI, but also the pull-through of what we now believe, see is AI-driven medium, long term in our pipeline.
 Direct or [ emotion ]? That's what we hear. In spades, that's the discussions that we have predominantly with all. Does it mean that there is no room for [ emotion  ]? No, but just we just see more direct than anything else. But again, the fun part of the -- or a lot of the -- a very interesting part of our job today is that we really figure out and design with the big players across the world what the future looks like, and that is a highly cooperative activity. It was a bit long answer, sorry about that, but hopefully. 
Operator: We now have Scott Davis with Melius Research. 
Scott Davis: Congratulations on the year. This might be a little hard to answer, but do you guys have a view or a vision, either one, but what percentage of the mix liquid cooling would be in a couple of years? Is it -- I'm trying to just get a sense of size and materiality of it, I think, is the question. 
Giordano Albertazzi: Scott, it's very much -- we do not deviate very much from what we were saying at Investor Day quite honestly. So if I go back to those thought process, we would see, let's say, go into a 15% to 20% of the overall let's say, thermal part over time, as that builds up. Okay. But again, it's really still a bit early. 
Scott Davis: Okay. And again, I know you've got a lot of different SKUs, but can you give us a sense of your capacity utilization by region? And maybe the real question I'm trying to get at is how much did lack of capacity kind of slow down your growth in '23 or perhaps impact your growth in even the first couple of quarters here at '24 before your new capacity comes online? 
Giordano Albertazzi: Capacity and capacitization is ongoing. I would say that with the open -- the big steps were opening, talked also many times, India and Monterrey. After that, it's more of a gradual expansion, adding lines, adding chefs, improving utilization, improving output, investing more in assembly lines and tools. So in general, we do not see -- in this moment, we do not see for 2024 capacity or beyond, of course, capacity as a limiting factor not in any kind of a material fashion.
 Clearly, as I mentioned, we make capacity decisions almost on a weekly basis because never have we experienced a market that is dynamic to this extent. And I want to make sure we have kind of a very robust process to be there and to provide our customers with the right capacity. 
Operator: We now have the question from Jeff Sprague of Vertical Research. 
Jeffrey Sprague: Maybe just coming back to the Slide 12, Gio. Just help us get our head around what exactly this means. Obviously, you're increasing capacity off a very, very low base. But if we go back to the Investor Day, you said you had $100 million of really direct AI revenue exposure. And there was another $250 million, which was kind of in that fungible category that was maybe AI, but you didn't know for sure.
 I don't think you're telling us here that $100 million is going to $4.5 billion, multiplying it by 100 by 45. But what are you telling us here? It's obviously a pretty dramatic chart. 
Giordano Albertazzi: What we are saying is that here, we will -- in the space of the 12 months, our plan is to make sure that we have the necessary demand to cover the needs -- the direct-to chip liquid cooling needs of the industry and making sure that we do not limit our ability of our customers to grow their direct-to-chip liquid cooling.
 That means that we indeed start from a relatively low base when we were talking about $100 million at Investor Day of course. That doesn't mean it's all liquid cooling, by the way. The -- we were talking about a backlog that was spread over months and quarters. So it's not necessarily a peak point realized in -- at the beginning of the year. 
 The fact is we start from a low base. We believe that we'll be able to bring the capacity that the industry needs and plus, and that's done activating 3 vertical plants across all continents and with a rapidity and with a broad reach of our supply chain. So the message is, without going in exactly in the numbers for obvious reasons, but the message is we will have capacity, and we have capacity. And our -- we have the technology -- and that's why we see a lot of conversation and a lot of pipeline forming in this moment. 
Operator: We have the next question from Nicole DeBlase of Deutsche Bank. 
Nicole DeBlase: Just maybe on EMEA. You guys alluded to some shipment delays that took place in the fourth quarter. And I guess, can you talk a little bit about maybe quantify that, talk about the impact if you can kind of recoup all of that in the first quarter. And talk about the quarterly cadence of growth to get to low double digits for 2024. 
Giordano Albertazzi: The line was very, very noisy. I believe -- we believe that we have understood your question. So Q4 was -- for EMEA was predominantly a question of customer readiness and site readiness, so not so much an internal capacity, but it was more us more the customer side receiving. When it comes to the sequence of quarters going into 2024 for EMEA, probably a little bit premature. We certainly will have a challenging comparison in Q1.
 So [indiscernible] this acceleration that we shared with you happen necessarily in Q1. But as I said, we are -- this and we are very happy about the pipeline, and we are happy about the example and specifically refer to our order intake in Q1. So we are quite opportunistic about it. Some noise there. Brika, you still there? 
Operator: We will move on to the next question of Mark Delaney of Goldman Sachs. 
Mark Delaney: Yes. Backlog grew 16% to reach a record high of $5.5 billion. Can you talk about how much of the backlog is supporting sales in 2024? And how much is for 2025? And as you think about the order of backlog strength, does that imply that in the next few years, where this revenue would be at the higher end or maybe even above the 8% to 11% long-term revenue CAGR target provided at the Investor Day? 
Giordano Albertazzi: Our long-term, let's say, vision stays -- stays what we shared with you at Investor Day. And of course, with a good Q4 under our belt. Backlog 16%, obviously something that makes us certainly very happy and that is heading in the right direction. When it comes to the -- this year vis-a-vis future years or next year and future years, I would say that we do not see a distribution that is anyway much difference than what we saw a year ago in the same condition. So I would say pretty natural -- pretty regular split, let's say, this year and next year. Is the backlog good? Yes, is the backlog, let's say, encouraging? Absolutely, absolutely.
 You saw -- you know our long-term view. You have your -- our 2024 plan. And yes. 
Operator: We now have Sahil Manocha of Citi. 
Sahil Manocha: This is Sahil Manocha on for Andy Kaplowitz. It's now been roughly 3 months since the CoolTera transaction, and you mentioned that asset integration and vigorous production acceleration will continue through 2024. To the extent possible, could you please clarify the impact of the CoolTera acquisition has had on the '24 guide since the Analyst Day was pre-acquisition. More specifically, what is the revenue and cost impact of the CoolTera acquisition on the '24 guide? 
Giordano Albertazzi: We closed CoolTera acquisition on the 8th of December. So yes, it's not 3 months yet. But yes, I would tell you that our plan and our Investor Day vision of the future included certainly an important acceleration in liquid cooling and AI. It was already part of our portfolio. The difference is with the acquisition and one may think that we probably kind of aware that things would may have evolved that direction on the 29th of November.
 But that gives us, again, more, let's say, confidence in the ability and the speed to execute on that plan. So nothing revolutionary, nothing dramatically different is -- are we in a better position because we have secured something that was likely but not sure? Yes, absolutely. 
Sahil Manocha: And just one more. I see that your views for the Communications segment end market was unchanged, and you mentioned that CapEx remains tight. Could you please provide a bit more color on what you're seeing in the end market in terms of outlook for '24. How are you seeing the still elevated rate environment impact your telecom-related customers? Any further color there would be much appreciated. 
Giordano Albertazzi: Yes. The telecom is, let's say, it ebbs and flows depending on the technology waves. 5G, of qcourse, created acceleration a few years ago and then slowed down. And that's typically the type of cycle that business is. We do not see any imminent cycles and hence, we continue to believe that, that market will be pretty slow. We do not think that would be shrinking.
 In the future, there will be new technology, new acceleration, certainly an area where a very distributed edge could, at a certain stage, have a positive impact, and we're there with the technology, with the presence with the go-to-market, with the capacity. But again, in our guide and our vision for the future, we are very prudent with this space. 
Operator: You now have Steve Tusa of JPMorgan. 
C. Stephen Tusa: The -- just a question on the orders outlook. I mean do you guys expect to grow orders in 2024? And I think you said you'd grow that deferred balance, but it would be growing just slower than the 80% that you saw this year? And then I have a follow-up. 
Giordano Albertazzi: Yes, we believe that orders will grow. We started, of course, mentioning that Q1 will be sequentially up sorry, it will be year-on-year up, not sequentially -- year-on-year up in high teens, as explained during the slide show. But we believe that overall the year will be up. 
C. Stephen Tusa: And the deferred balance? And then I have a follow-up to that. 
David Fallon: Yes. We would generally expect that deferred balance to be very much correlated with the growth of sales or orders, one being the proxy for the other. So we would expect growth in that account commensurate with what we see the growth being in both orders and sales. 
C. Stephen Tusa: Got it. And I appreciate you guys talking about pricing in a little bit more of a sensitive way. But then you were pretty clear that like supply/demand remains relatively favorable. You guys are offering greater value for the customer. Are you guys planning on getting just roughly any sequential price increases in orders this year? 
Giordano Albertazzi: We are talking about an environment going forward with price cost is up. And we believe in an environment in which price remains positive, as I explained. That necessarily translates in the same equation being true for orders. Otherwise, that would be a short-lived statement. 
C. Stephen Tusa: But I guess is there any time this year that you would expect price declines in orders year-over-year? 
Giordano Albertazzi: We do not expect that. 
Operator: We have the next question from Nigel Coe, a follow-up, of Wolfe Research. 
Nigel Coe: Thanks for the second part of the cherry here. So yes, my question is actually partially addressed by Jeff but the 45x increase in capacity on the CoolTera CDUs, mean any kind of conservative read of your current capabilities would suggest you're planning for $1 billion plus kind of revenue line here in 2025. Just wondering if that complete your base. But just more broadly, on capacity, it seems to me that adding second shift would be a big meaningful increase in your capacity capabilities. So just curious what you're seeing and what you're doing along partnerships across your overall footprint. 
Giordano Albertazzi: Sure. Let me start. I'm not sure I fully -- I heard you very well on the first part of the other question. But when it comes to capacity, it's never adding a second shift or when I say they're adding more shifts in general, adding more capacity, utilization of the asset. So think about our capacity increase as exactly a combination of more net-net, more square feet, square meters, more utilization, investment going up. And you have seen our CapEx projections go up year-on-year.
 And there is VOS, Vertiv Operating System productivity certainly plays a big role, and there is an ability to utilize more the capacity that at any given instance, we have available, and this is not different from what we shared already in October and indeed at Investor Day. So there is flexibility in that respect and flexibility we are using. But the first part, I couldn't capture very well, so real quick as we're at time. Can you ask again? 
Nigel Coe: Yes, look, Slide 12, the 45x increase. It seems like $1 billion plus of capacity is what you'll point to here, but just wondering if there's any more detail on that. 
Giordano Albertazzi: So I think we are reading too much into that, read it like the industry has a growth rate in direct-to- chip. We want to make sure that we provide capacity over and above that growth rate so that whatever the industry needs, we will be able to cover that. 
Operator: Thank you. This does conclude our question-and-answer session. I would like to turn the conference back over to Giordano Albertazzi for any closing remarks. 
Giordano Albertazzi: Well, thank you. Thank you very much, and thanks, everyone, for your questions. And looking forward to more interaction in the next few days. I want to thank the Vertiv team globally, hard work in 2023, and we have executed well. We -- as we mentioned a few times in the recent past and continues to do, we are shifting our culture towards high-performance culture.
 It doesn't happen overnight, but certainly happening at Vertiv gradually, a lot more to do. We are heading in the right direction. We started to develop the right sense of urgency across the organization, and you can see that. As I like to say, I'm pleased, but absolutely never satisfied. Good year 2023. Looking forward for a stronger year yet, in 2024. A lot of potential, very excited. Thanks, everyone, for joining us, and we'll speak soon. 
Operator: Thank you. The conference has now concluded. Thank you all again for attending today's presentation. You may now disconnect.